Operator: Thank you for standing by, and welcome to the CoStar Group's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Richard Simonelli, Head of Investor Relations. Please go ahead, sir.
Richard Simonelli: Thank you very much. Hello, everyone. Thank you for joining us to discuss CoStar Group's second quarter 2025 results. Before I turn the call over to Andy Florance, CoStar's CEO and Founder; and Chris Lown, our CFO, I'd like to review our safe harbor statement. Certain portions of the discussion today may contain forward-looking statements, including the company's outlook and expectations for the third and fourth quarters and full year and beyond. Forward-looking statements may involve many risks uncertainties, assumptions and estimates and other factors that can actually cause actual results to differ materially from such statements. Important factors that can cause actual results to differ include, but are not limited to, those stated in CoStar Group's press release issued earlier today and in our filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q, included under the heading Risk factors in those filings as well as other filings with the SEC available on the SEC's website. All forward-looking statements are based on the information available to CoStar on the date of this call. CoStar assumes no obligation to update these statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Reconciliation to the most directly comparable GAAP measures of any non-GAAP financial measures discussed on this call are shown in detail in our press release issued today, along with the definitions for these terms. Press release is available on our website located at costargroup.com under our press room. Please refer to today's press release on how to access the replay of this call. Remember, one question during the Q&A session to make it a good one. And now with that, I'd like to turn the call over to our Founder and CEO, Andy Florance. Andy?
Andrew Florance: Well, I'd have to say between the operator and Rich, you guys have set a very high bar for radio personality voices. So I'm going to try to live up to that. Thank you for joining CoStar Group's earnings call for the second quarter of 2025. I am very pleased to report another exceptional quarter. CoStar achieved -- CoStar Group achieved revenue of $781 million, a strong 15% increase compared to last year. This marks our 57th quarter -- consecutive quarter of double-digit revenue growth. Adjusted EBITDA rose significantly to $85 million, representing an impressive 108% increase compared to Q2 of 2024. Both revenue and adjusted EBITDA exceeded consensus estimates and were above the high end of our guidance range. Our commercial real estate information and marketplace businesses also delivered an outstanding profit margin of 43% this quarter. Net new bookings totaled $93 million, a remarkable 65% increase over the previous quarter. This sets a new record as the highest quarterly net new bookings in CoStar Group's history. We're seeing strong performance across all our business segments, driven by strategic investments in expanding our sales force and innovative product development. Throughout 2025, we're growing our core sales team by 20% and tripling our Homes.com sales force from 230 representatives at the end of 2024 to about 750 by the end of 2025, all this to capture additional growth opportunities. Apartments.com had another excellent quarter with revenue up 11% from Q2 2024, reaching $292 million. Our sales team achieved $45 million in net new bookings, the fourth highest quarter ever, representing a 20% increase year-over-year. Apartments.com is approaching an annual revenue run rate of $1.2 billion and maintains a very strong EBITDA margin. I did have a percentage in there, but Chris had me take it out. During the second quarter, our sales team had over 171,000 quality interactions with clients and prospects, maintaining an outstanding Net Promoter Score of 94%. These interactions resulted in a 99% monthly renewal rate, the addition of 3,263 new rooftops or nearly 83,000 multifamily communities advertising on our platform. In the first half of 2025, we've already added 7,600 new apartment communities, more than we added throughout all of 2024, and we did it without steep discounting or paying hundreds of millions of dollars for inorganic revenue as our main competitor did. To address the multibillion dollar addressable market in apartments, we're growing our Apartments.com sales team to 500 representatives in 2025. So far, this year, we've added 65 new sales reps with large training classes scheduled for July and August. In Q2, Apartments.com launched a marketing campaign generating over 4.8 billion media impressions. The campaign reached renters across their favorite media channels and targeted landlords with new commercials featuring Brad Bellflower. We significantly increased our investment across key media channels. Streaming video grew by 25%, paid social by 13% and digital by 130% compared to Q2 '24. Apartments.com was prominently featured during live sports events, including the NFL Draft, College World Series, PGA Tour, NBA and MLB regular seasons and across popular programming on Bravo, E!, CBS, Netflix, Paramount+ and Hulu. We also made our Canadian broadcast debut during game 6 of the NHL playoffs. With the launch of our New York City specific search experience on Apartments.com, we ran targeted out-of-home advertising across all 5 bureaus in New York City and partnered with local influencers. The Apartments.com network averaged 42 million monthly unique visitors and 234 million network visits during this quarter, according to Google Analytics. The latest comScore data shows that all of the rental portals traffic declined Q2 '25 over Q2 '24, but with Apartments.com network doing the best with visits only down 11%, while Zillow Network rental network was down 13%, ApartmentGuide was down 21% and Rent.com was down dramatically, down 39%. Market research indicates that our unaided awareness among apartment seekers remain best-in-class at 68%, significantly higher than all competitors combined, all primary competitors combined. Our closest competitor trails by 30 percentage points and the next closest by 58 points. Realtor.com's unaided awareness for apartments stood at only 4% in June. Apartments.com continues to deliver more leads and nearly twice as many leases as our 2 closest competitors combined according to Entrata data. We believe the Apartments.com network holds the industry's most comprehensive inventory with a record 2.2 million rental availabilities in June of 2025. To further enhance exposure, we also feature Apartments.com listings on the Homes.com rental area, where traffic increased 26% year-over-year due to Homes.com's robust marketing efforts. Canadian Apartments.com also continues to perform well with visits up 31% and leads up 62% year-over-year. Since Q2 last year, we've grown our Canadian business by 300%, ending June with over 1,500 paying properties. Our presence at this year's National Apartment Association Apartamentalize Convention in Las Vegas was highly successful. We hosted 1,500 clients at our kickoff party featuring Kenny Chesney, attracted 3,100 booth visitors and generated over $500,000 in monthly net new bookings, translating to 6 million in annualized net new bookings. We showcased our latest AI-powered technology, including Matterport 3D tours and AI Voice Search and incredible interactive life-sized department exhibit called the Brad. We rolled out our new Matterport Max packages with great success. Clients and prospects who experienced the power of Matterport our booth were impressed and convinced of its value in accelerating the leasing process. These packages come with a Matterport Pro 3 camera and allow clients to create a virtual twin of their units, all their units, common areas and the entire building. Having a Matterport digital twin is becoming essential. 40% of apartment seekers look for communities in different cities and 41% are willing to rent site unseen if you provide high-quality imagery. Significantly, 53%, they'll say they will stop considering a rental unit without detailed imagery. Consumers love the Matterport experience on Apartments.com. In Q2, they viewed Matterports 67 million times, up 193% over the same period last year, spending 71% more time on listing detailed pages with the Matterport 3D tour. Listings with the Matterport 3D tour received 23x more leads than those without. Later this year, Apartments.com and Homes will introduce an AI-powered voice search, allowing consumers to find properties by speaking naturally or typing free-form phrases, no more filtering required. We have also been working with the largest property management firms in the country to provide greater fee transparency for the market. Last week in one of the top property managers in the country, we launched disclosure of their onetime and monthly fees associated with renting an apartment, creating complete fee transparencies for consumers on Apartments.com. Homes.com delivered a strong second quarter, achieving solidly positive sales growth after overcoming Q1 churn from the initial sales last year. Residential annualized net new bookings totaled $12 million for the quarter. Our expanding sales force drove consistent monthly growth, with May sales increasing 5% over April and June sales increasing 15% over May. Revenue for Q2 compared -- grew by 8% compared to Q2 of 2024. We signed 6,300 net new members, representing a 56% increase in membership during the quarter. Our dedicated Homes.com sales team significantly increased product demos, rising more than sixfold from March last year to June. Our B2B marketing efforts generated the highest lead volume since launch, with over 3,600 leads to our sales team in June alone, resulting in more than 5,400 product demos with a conversion rate exceeding 50%. The Homes.com network attracted an average of 111 million unique monthly visitors in Q2 according to Google Analytics, putting us well ahead of our third and fourth ranked competitors. Our marketing campaign has successfully boosted unaided awareness intent among users. Unaided awareness has grown dramatically from 4% at the launch in 2024 to over 36% today or in Q2. Unaided intent has risen 6 points since April to reach 25%, signaling a major breakthrough in user engagement. Member agents listings on Homes.com achieved 22x greater reach compared to nonmembers, significantly enhancing consumer engagement. Listings from members received 7x more detailed views, 4x more favorites and 6x more shares, resulting in faster sales and higher selling prices. Leveraging these marketing advantages, Homes.com members secured 62% more listings than nonmembers with an outstanding return on investment. Especially given the average new listing commission value of $15,000 against a monthly membership fee under $500. Our growing dedicated sales team is doing an increasingly effective job at educating agents about the value proposition of Homes.com. We have observed significant improvement in client satisfaction reflected in rising Net Promoter Scores. Our NPS grew from a modest 3 in Q4 of 2024 to 9 in Q1 of '25. And then it jumped substantially to 38 in Q2, marking a 340% quarter-over-quarter increase. Additionally, our early cancellation or failed payment rate on 12-month contracts remained well below 1% throughout most of Q2. The newly launched Boost product has been successful. Boost provides sellers and their agents with a flexible marketing option, allowing single property listings to be boosted on Homes.com to benefit from membership level marketing. Since Q2 launch, we sold 1,270 Boosts. Boosted listings reach over 14,000 homebuyers with an average of 32 views per buyer making boosted listings 25% more likely to go under contract within 10 days. I can't pass that up. Nearly 25% of Boost users have converted to full Homes.com memberships. So the Boost program is a great lead pipeline for our sales force. This month, we launched a new advertising campaign for Homes.com, celebrating our success building an audience of over 100 million monthly unique visitors to the Homes.com network. In the spot, Dan Levy and Heidi Gartner draw attention to Homes.com's massive audience to reinforce the real estate agents the value of marketing their properties and listings on this valuable -- to this valuable audience cost effectively on Homes.com. The spots also tell home shoppers that 100 million-plus people have chosen to use Homes.com, so perhaps they should check it out too. We believe that the majority of home buyers once they try Homes.com, prefer Homes.com. We strategically placed ads across popular networks, including CBS, FOX, ESPN, contextually relevant shows such as Girl Meets Farm and American Pickers, and major sporting events like the Stanley Cup Playoffs, MBA Finals, PJ Championship, MLB and WNBA regular seasons. Additionally, we expanded digital and streaming sponsorships with DraftKings and Roku and audio and podcasting partnerships with Spotify and Amazon Music, collectively generating over 4 billion targeted paid media impressions. We launched a highly customized direct mail member agent appreciation campaign aimed at nearly 100,000 home sellers represented by Homes.com members. This personalized 20-page brochure delivered shortly after a listing goes live, highlights the seller's home, their agent and the marketing advantages provided by Homes.com. The campaign has received extremely positive feedback, reinforcing seller confidence encouraging agent renewals. I believe that this campaign will further increase our NPS scores. This month, Zillow began questionably leveraging its market power by forcing agents to market listing on its platform within 24 hours of the listing being marketed or risk the listing being permanently banned. This tactic, we believe, raises serious antitrust concerns. Indeed, Compass has already filed a lawsuit against Zillow for such practices. Zillow banned its first listing despite it complying with Bright MLS and NAR regulations. Zillow falsely labeled the property as off-market on their website, misleading buyers. Zillow demands agents listings immediately to avoid losing the opportunity to divert and sell leads from those listings. Given the recent relaxations and clear cooperation no commingling rules, Zillow appears concerned that agents may opt for more agent-friendly platforms like Homes.com, which do not divert leads. By demanding immediate listings and simultaneously offering Zillow exclusive listing, Zillow risks weakening the relative value of the MLSs. A major brokerage has informed us that Zillow now seeks direct feeds from brokers, bypassing MLSs suggesting MLSs may soon recognize Zillow as an existentialist threat -- or an existential threat, not an existentialist. Homes.com is offering free boost to any home for sale that Zillow bans. The first home ban that we're aware of is in Montgomery County, Maryland. And with a Homes.com boost, we've been able to serve it up to buyers 155,000 times in the first 12 days, it was on the market. 205 buyers have favored listing on Homes.com and 43 have shared it with a friend or family member. I visited that open house on that listing this weekend to support the agent, and there was good traffic. The agent told me they've already had 30 showings. Homes.com provides a compelling agent-friendly alternative to Zillow's aggressive tactics. Agents are liking what we are doing. Our impressions on Homes.com social media channels targeted to agents have increased 1,247% in Q2 '25 compared to Q1 '25. We're seeing considerable social listing growth with our net sentiment score up 58% since last quarter. From April to June '25, our social media engagement has increased by 48%, with a 30% growth in positive sentiment. The reason is simple. Homes.com benefits all parties involved, home buyers, sellers and agents and MLSs. We eliminate friction by providing a professional online presentation of every home and community without distracting ads or spam, and we're connecting buyers honestly, directly with the seller's agent. Member listings and Boost reach more buyers more frequently. Members build their brand by being prominently featured across our site and retarget across thousands of websites. No other U.S. portal offers this level of exposure for agents and listings. In August, we plan to launch a robust new home section on Homes.com. This is a vital segment as approximately 60% of homebuyers prefer new construction according to the National Association of Homebuilders. I'm glad they're that confident. We have already secured 200 agreements with leading builders, positioning this new feature as a significant future revenue stream, enabling us to capitalize on a substantial market opportunity. It was another strong quarter for our U.K. residential marketplace on the market. Our inventory continues to grow with over 800,000 listings now on site, up 20% year-over-year and a new record for the business. We're delivering a significant ROI to over 16,300 subscribing customers with leads up 12% in the quarter year-over-year, and total page views on the site up 28% for the same period. We're building an audience of serious property seekers, with average time on site per active user up 85% year-over-year, and lead to visit conversions that we believe are beating Rightmove's conversion rate. Net new bookings reached a record of 100,000 in June, which was the 14th consecutive month of net new revenue growth equivalent to an impressive $9.4 million of annualized revenue. We're continuing to develop the product using the Homes.com playbook as we further differentiate from our competitors. We are in the final stages of acquiring Domain Holdings, one of Australia's 2 largest real estate portals and among the top 10 real estate marketplaces globally. We anticipate the transaction will close in the third quarter of this year, and we're very excited about combining CoStar's capabilities with Domain. Recently, a new dynamic has emerged in the Australian market. The country's antitrust regulator, the ACCC, has announced an investigation in the REA Group, which is Domain's primary competitor. In July, numerous real estate agents in Australia reported that REA Group increased their monthly subscription fees by up to 78%, likely prompting that investigation. We believe the situation creates an excellent opportunity for Domain to position itself as the more reasonable and stable service provider. It's worth knowing that REA Group in Australia and Realtor.com in the U.S. share common ownership under News Corp and the Murdoch family. Media reports speculate that Realtor.com CEO might return to Australia to replace REA Group's current CEO. If that were to occur, it would mean 2 disruptive leadership changes in our favor in one move. Our CoStar product achieved $271 million in revenue in Q2 '25. Revenue growth accelerated sequentially from Q1, increasing 7% year-over-year in Q2. Net new bookings from our CoStar product accelerated from last quarter as we achieved our highest quarter of CoStar net new bookings since Q3 2023. STR had its best quarter for net new bookings, up 24% year-over-year as compared to Q2 '24. This is the third consecutive quarter of increasing net new bookings for CoStar as we generate strong sales with banks, institutional investors and owners. I'm happy to see net new bookings for brokers trending upward each quarter this year. We remain on track to increase the CoStar product sales force by 20% in 2025, reaching a total of 400 sales representatives to position us to capture the substantial and growing total addressable market there. Our lender sales continue to exhibit strong growth as our expanded sales team meets the increasing demand for our product. With over 400 clients and revenue approaching $100 million, we've established a strong foundation pretty quickly that we'll continue to build on as we roll out additional capabilities and expand our sales force to target the larger $1 billion TAM in the lender space. Our quarterly CoStar renewal rate increased to 93%. Our Net Promoter Score for the U.S. sales team reached an outstanding 70%. That was a major first for us and been a solid progression for a couple of years there. Our Canadian team's NPS grew to 63%, again, an all-time high for both teams. In addition, gross productivity per rep has improved in each of the last 6 months. The number of subscribers for CoStar grew to 275,000, up 19% year-over-year driven predominantly by the ongoing migration of STR users into CoStar and the addition of new STR subscribers to the CoStar platform. I'm very pleased with our continued growth in a challenging market. The CRE market continues to face difficulties, particularly in the office segment with persistently high vacancy rates, though moderating and slightly worsening negative net absorption rates. We're seeing a sharp decline in new deliveries, which should help stabilize the office market in the near future. Transaction volumes have maintained a positive seasonal trend, with Q2 up 43% year-over-year. The increase in deal flow was consistent across the 5 main property types with office transaction volume spiking 71%, retail increasing 46%, multifamily rising 42%, industrial growing 29% and hospitality up 18% for the same period. Our international businesses have achieved 4 consecutive quarters of all-time high net new bookings with an impressive 90% year-over-year growth in Q2 '25 compared to Q2 '24. In the U.K., we're solidifying our market-leading positioning, leading -- boosting our year-to-date net new bookings by 257% compared to the first half of last year and accelerating year-over-year revenue growth to 14% in Q2 '25 versus Q2 '24. Concurrently, we've streamlined our cost structure, realizing $40 million in cost savings this year which represents 19% of our 2024 expense base in Europe. Our European sales initiatives are led by Alexa-Maria Rathbone Barker, who was recently promoted to lead the CoStar business in Europe. Alexa joined CoStar Group as Head of European Sales 3 years ago following a decade-long tenure at Bloomberg, where she held senior leadership roles focused on international growth and led the European analytics team. In her new capacity, Alexa will drive the continued expansion of our U.K. business and oversee the broader growth of CoStar across Europe. We're positioning our European business to take advantage of the substantial international growth opportunity. In Europe, over 50% of the value of CRE transactions are cross-border, yet there are no comprehensive pan-European CRE solutions. We have been methodically expanding our European research and marketplace capabilities. We anticipate launching CoStar in France by the end of the year. LoopNet delivered an outstanding performance in the second quarter. It generated more net new business in the first half of 2025 than the entirety of 2024. Net new bookings in the first half of 2025 surged by 345% compared to the same period last year. Consequently, revenue growth accelerated sequentially from Q1 and increased by 8% year-over-year. we expect LoopNet's revenue growth to exceed 10% in the second half of 2025, moving to double-digit growth. Despite ongoing challenges and volatility in the commercial real estate market, we've implemented significant changes to unlock LoopNet's full potential. As previously discussed, our focus on selling LoopNet packages that enable advertisers to promote their entire portfolio rather than a selected few properties. This approach delivers a high return on investment for our clients, increases listing coverage on LoopNet and enhances both the consumer and customer experience. Furthermore, the rollout of asset-based pricing continues to yield positive outcomes. With each passing month, our service is increasingly priced relative to the value we deliver to clients, resulting in year-over-year increase in monetization per listing. LoopNet is the world's most active commercial real estate marketplace. Tenants and investors begin their search online and LoopNet is their preferred destination. Properties listed on LoopNet sell and lease faster. For instance, one of the largest global brokerage firms and long-time client of CoStar recently significantly increased their investment in LoopNet marketing after we quantitatively demonstrated that listings on LoopNet were 60% more likely to close in a given time period than those not listed on the platform. We built the largest audience of commercial real estate shoppers globally with hundreds of thousands of properties available for sale and lease. In 2024, $120 billion worth of transactions occurred on LoopNet, where tenants or buyers viewed listings on our site before pursuing the deals they ultimately closed. Our effort to expand LoopNet's global footprint are progressing well. We launched LoopNet in Spain, and we expect to launch LoopNet France in Q4. This will bring our total listings across Europe to over 100,000, with significant potential for further expansion as we address the evident market need for a pan-European and global commercial real estate marketplace. With the expected close on the Domain acquisition in Q3 2025, Australia will soon become part of the LoopNet network. That will be a good day. Land.com achieved the highest quarter of net new bookings since Q3 2022. This was a result of improved segmentation and servicing of clients. Clients elected to migrate their marketing exposure from the lower and middle advertising plans to the highest plan. Signature ads increased by 49%. Land professionals will benefit from a tremendous increase in reach and value because of the promotion of Land's paid listings on Homes.com and the integration of our recently acquired AcreValue. CoStar Real Estate Manager continues to grow revenue and drive synergies between Visual Lease and Real Estate Manager. Subscription revenue grew 9% in Q2 '25 compared to Q2 '24. I recently had the opportunity to spend some time in Atlanta working with the product teams and the integration of CoStar between Visual Lease and Real Estate Manager, along with Matterport and LoopNet. I'm confident this will be an amazing solution for anyone that leases commercial space. BizBuySell revenue reached $8.8 million in the second quarter, a 9% increase year-over-year. Business for sale net new bookings increased 200% from Q2 2024, driven by strong growth in both business owner and broker subscriptions. Subscription revenue from BizBuySell Edge, which offers entrepreneurs advanced tools and marketing insights grew, 50% year-over-year. Buyer demand continued to strengthen with lead volume increasing 23% Q2 year-over-year. Business owners are increasingly turning to BizBuySell for valuation estimates, educational content and other resources. Over 25,000 new business owners registered on BizBuySell during the quarter, with 5,000 creating detailed business profiles that shared location, industry revenue and profit. Importantly, thousands of these owners also turned to BizBuySell each quarter to connect with our network of business brokers subscribers for expert guidance and listing representation. In Q2, brokers reported 2,342 sold business transactions on the platform, totaling nearly $2 billion in enterprise value. Brokers are rapidly adopting our recently released deal accelerator feature which streamlines dealmaking by automating buyer qualification and information sharing processes, helping brokers close more deals and earn higher commissions. Finally, turning to Matterport, saving the best for last. Matterport is clearly the world's leading provider of digital twin solutions technology. Its primary competition comes from the hundreds of billions of traditional 2-dimensional images used to market real estate and manage facilities. However, these 2D photos fall significantly short of Matterport's immersive capabilities, which intuitively transport remote viewers into a space providing experience second only to physically being there, hence, porting matter. While Matterport offers an exceptional product, the business has not yet achieved profitability and its growth rate has slowed. We strongly believe that integrating Matterport with CoStar Group will help the company thrive, accelerate growth and achieve strong profit margins. An integrated Matterport solution will significantly enhance the value of CoStar's marketplaces and information platforms. Currently, Matterport has a very small sales force. I believe, fewer than 30 quota-carrying salespeople globally, not quite one per major country, which means many of Matterports most promising revenue opportunities have never been contacted by a Matterport salesperson. That will change. We plan to significantly expand Matterport sales force and market its integrated solutions through the thousands of CoStar sales representatives at Homes.com, LoopNet, Domain, Real Estate Manager Land, Apartments.com and other platforms. Historically, Matterport has operated as a product-led company with a strong business consumer focus, which resulted in less emphasis on sales efforts or field sales efforts and less focus on its most powerful technology, the Matterport 3 camera. We intend to shift Matterport towards a business-to-business or B2B approach. The Matterport Pro 3 camera delivers a superior capture experience and a very superior display experience compared to mobile devices. Customers using the Pro 3 camera have an 85% renewal rate for our SaaS services, while those using an Android phone only have a 40% renewal rate. We plan to invest time and capital in developing even more advanced cameras, appropriately named the Matterport Pro 4 and the Pro 4 Ultra specs to be revealed one day. We will work to maintain our highest-end cameras more -- make our highest-end cameras more price accessible to the hundreds of thousands of potential users around the world. Right now, the first Matterport taken with the Pro 3 effectively costs a photograph or $6,500. The first picture costs you $6,500. The second cost $3, the third, the fourth or fifth, each cost $3. As a result, many potential users never get to the second Matterport or the first Matterport. This is easy enough to profitably change and solve for. We're integrating Matterport's amazing capabilities more deeply into all of our portals and information solutions. I think that in combination, we can bring properties to life like never before. We're relaunching the Matterport brand, adding the signature CoStar Group Star Wheel logo to the front of the Matterport name, and we're going to co-brand Matterport with our portal brands, appropriately to the property types. While we invest in profitable growth initiatives at Matterport, we have a sharp eye on getting to profitability so that we ultimately are positioned to achieve our goal of digitizing the world's real estate. Yesterday, we began winding down operations of Matterport's photography business VHT. Matterport acquired VHT in June of 2022, but has not realized its strategic potential. VHT primarily operates as a loss-making real estate photography service, largely focused in the Chicago market. Approximately 75% of VHT's photography services do not include a Matterport tour, and none of their contractors are using the high-quality Pro 3 camera. VHT generated roughly $14 million in annual revenue, but incurred losses exceeding $10 million. It's a nonstrategic asset, so we're going to reallocate resources to more productive areas. In conclusion, I'm thrilled with our strong financial results and CoStar record annualized net new bookings quarter of $93 million, a remarkable 65% increase over the prior quarter. Again, $93 million in net new bookings in the quarter. With a $100 billion total addressable market in the world's largest asset class, we remain committed to our mission of digitizing global real estate. At this point, I will finally turn the call over to our CFO, Chris Lown.
Christian Lown: Thank you, Andy. Good evening. I'm happy to report that CoStar has now reached its 57th consecutive quarter of double-digit revenue growth, coming in at 15%. We also achieved a Commercial Information and Marketplace Brands margin of 43% in the second quarter. As a reminder, this margin excludes Homes.com on the market and the recently acquired Matterport. Net new bookings for the second quarter were a record $93 million representing a 65% sequential increase from the first quarter and a 38% increase year-over-year. Apartments.com, CoStar and LoopNet all contributed strong bookings growth as our growing dedicated sales forces are delivering. Revenue for the second quarter was $781 million, exceeding the high end of guidance. Matterport revenue was $44 million in the second quarter, beating our guidance estimate and contributing to our outperformance in the second quarter. Second quarter adjusted EBITDA came in at $85 million, an 11% margin, also exceeding the high end of our guidance range. The outperformance in adjusted EBITDA was a result of timing of investment spend and our revenue beat this quarter. CoStar revenue grew 7% in the second quarter, ahead of guidance. Sales rep productivity has steadily improved over the past 6 quarters and second quarter productivity was the highest since Q3 2023. The strong second quarter performance, combined with internal leading indicators compels us to increase our full year revenue growth guidance to 7%. We expect growth in the third quarter to also be 7%. Residential revenue was $28 million in the second quarter. We expect third quarter residential revenue to increase $3 million to $4 million sequentially, and we now expect residential revenue growth of over 20% in 2025. Apartments.com's second quarter revenue growth came in at 11% year-over-year, ahead of the 10% guidance we provided last quarter, Sales rep productivity improved to its highest level in 2 years, an impressive feat considering we are also at our highest number of sales reps. Our first half of 2025 results are broadly in line with expectations, and we remain on track to achieve the 11% to 12% full year revenue growth guidance we provided last quarter. Third quarter revenue growth is also expected to be 11% to 12%. LoopNet revenue grew 8% in the second quarter, 1 percentage point higher than last quarter's guidance. LoopNet's dedicated sales force continues to perform. In fact, the sales team delivered LoopNet's highest first half net new bookings ever. The shift in sales strategy to focus on selling broad subscription packages and utilize asset-based pricing has been working well, and we anticipate the benefits of this strategic shift to continue. This first half performance and strong momentum gives us the confidence to increase our 2025 revenue growth expectations to 8% to 9%. Third quarter revenue growth is now expected to be between 10% and 11%. Revenue from information services was $39 million in the second quarter. We are updating our guidance for Information Services revenue growth to 16% to 18% and expect third quarter revenue growth of approximately 20%. Other revenue was $75 million in the second quarter, with Matterport contributing $44 million. For the third quarter, we expect other revenue of approximately $75 million, including approximately $40 million for Matterport. Through our integration and streamlining efforts, we are discontinuing certain noncore Matterport revenue that did not positively contribute to earnings, which is why we're expecting Q3 revenue to be below the level realized in Q2. The impact from the discontinued revenue to our full year outlook is around $10 million. As such, we are revising the top end of our revenue guidance and now expect other revenue between $270 million and $275 million. Adjusted EBITDA for the second quarter was $85 million at an 11% margin, meaningfully above the high end of our $50 million to $60 million second quarter guidance. The favorable performance relates to higher-than-projected revenue, lower-than-anticipated professional services costs and timing of certain growth initiatives. We have made great progress on bolstering our sales force, which has reached 1,800 reps at quarter end. This is an increase of more than 400 salespeople since the beginning of the year and a 43% increase in reps year-over-year. While sales headcount has reached the most at Homes.com -- has increased the most at Homes.com, we are delivering sales rep growth in all our major brands. Our contract renewal rate was 89% for the second quarter, with the renewal rate for customers who have been subscribers for 5 years or longer at 95%. Subscription revenue on annual contracts was 78% for the second quarter. Matterport's inclusion decreased this metric by 2 percentage points. On June 30, our June 30 balance sheet includes $3.7 billion in cash, which earned net interest income of $33 million in the second quarter, a 3.5% rate of return. We repurchased 585,000 shares in the second quarter for $45 million, bringing our year-to-date total to 825,000 shares repurchased for $64 million. In 2025, we anticipate repurchasing at least $150 million of the $500 million share repurchase authorized. On May 9, we formally agreed to purchase Domain Group for AUD 4.43 per share. As mentioned last quarter, we already acquired a 16.9% ownership in Domain. We expect to pay an incremental AUD 2.3 billion to acquire the remaining shares when the transaction closes. In anticipation of the deal closing, we entered into a forward swap of USD to AUD to mitigate foreign currency risk while the deal is pending. We expect the total remaining equity purchase price to be around $1.5 billion. Based on our outperformance in the second quarter, we are increasing the midpoint of our 2025 revenue guidance. We are now providing a range of $3.135 billion to $3.155 billion, implying an annual growth rate of 15%. Our guidance does not contemplate the expected closing of the Domain Group acquisition in the third quarter. The company expects third quarter revenue of $800 million to $805 million, representing 16% year-over-year growth at the midpoint of the range. We are also increasing our adjusted EBITDA guidance for the year, with revised guidance of $370 million to $390 million. Our revised adjusted EBITDA guidance reflects our second quarter beat versus guidance and incorporates the timing of the growth initiative spend getting pushed to the back half of the year. For the third quarter of 2025, adjusted EBITDA is expected to be in a range of $75 million to $85 million. And with that, I will now turn the call back over to our call operator to open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Ryan Tomasello from KBW.
Ryan Tomasello: I wanted to touch on Apartments.com. Regarding the competitive dynamics in the space, can you say whether or not you've observed any signs of wallet share loss either directly through properties being moved off the platform or indirectly winning less share of budget growth? And given Zillow's rental package, I believe, is priced below Apartments.com, have you seen any pressure on your ability to take price in that business or drive upgrades from that customer base?
Andrew Florance: Thank you for the question. We have not seen any loss of share or ability to really capture price value at Apartments.com. I think we're conflating 2 different things here. Obviously, the product is extremely strong with very high NPS, renewal rates, growing bookings, robust sales bookings, growing ASP. And that's been conflated a little bit with looking at a lot of purchasing clients by our competitor paying top dollar to buy share from Redfin and from Realtor. That's relatively low quality advertisers coming in. The ASP on those properties is dramatically below the ASP on Apartments.com. So I would say we feel that we're in a very strong competitive position and nothing is changing.
Christian Lown: Yes. I'd add one other -- or two other points. One, the greenfield TAM in this industry is still massive. And so this concept of wallet share taking wallet share really isn't applicable here given how large the TAM are. We're both competing and there's massive TAM. And the second thing, and I think Andy says this the best is we sell leases. We don't sell leads, and that's why we have the product we have and the results we have. And so I just -- I think you always need to keep those 2 things in mind.
Operator: And our next question comes from the line of Stephen Sheldon from William Blair.
Stephen Sheldon: Just on Homes.com, great to hear about the improving NPS scores. So curious what do you think is driving that improvement? Is it better breadth of leads, higher lead quality, especially as I think you're starting to screen some of the inbound other value levers. Like including Matterport membership, et cetera. So what's driving that? And where do you think there is still significant work to do to improve the ROI of a Homes.com membership?
Andrew Florance: Sure. So I think it's important to keep all this stuff in context and in perspective. This is a brand-new product. We're pretty much rounding the first year and some number of months on the product. We are -- we believe we're launching a vastly superior product offering to anything else offered in the United States, and we are inspired by some very successful and profitable business outside the United States and other countries. So we're building up a sales force. These folks are doing a great job. They are relatively rookies. They're in their first year of sales for many of them. And you're just seeing quarter-to-quarter, month-to-month improvements in NPS and in bookings. So largely, the challenge is just sort of communicating accurately to clients, the value propositions and how to utilize the product most effectively. It's a compelling offering for these folks, and it's just a learning curve. So winning 60% plus more listings because you have a better marketing solution for homes for sale is a no-brainer, and we're seeing people begin to appreciate the value of marketing real estate on the Internet. Again, real estate -- there hasn't been any major player offering marketing real estate -- residential real estate on the Internet as a value proposition. So it's having been the leader in that space, beating any competitor in providing that service, total revenue achieved is new and gaining traction. We are seeing huge take-up of the Matterport offering or the combined Matterport. And as we look forward, I think that, that product and similar products that we develop will be differentiators in providing marketing solutions for real estate on the Internet. I hope that answers the question. And I'd also say you see CoStar crossing through 70%. You see apartments in the mid low 90s. That takes years to build that NPS higher and higher and higher and get to that 99% renewal rate, but we're on the track. We're focused on it and the years do go by, and we will win.
Operator: And our next question comes from the line of Pete Christiansen from Citi.
Peter Christiansen: Really nice results here, guys.
Andrew Florance: Thank you. We really appreciate that.
Peter Christiansen: I was hoping you'd talk a little bit about pricing. I mean you mentioned multifamily ASPs, I guess, are a positive there. And obviously, the AUM-based pricing at LoopNet is starting to really hit its stride. But I'm just curious about maybe other parts of the business suite and then the new homes model. Just if you can elaborate on that.
Andrew Florance: Sure. So I'll defer on CoStar to Chris, if he's got any information. I have no information that ASP on CoStar is changing in one way or another, I believe we're in the same place. I would actually say that our lender ASP would be dramatically higher than our standard broker owner ASP. But on the home side, we continue to optimize to the member's portfolio. And we are seeing pricing coming in at -- for a very small player at a couple of hundred dollars a month, we're also seeing for larger players, deals come in at $7,500 a month or $8,000 a month. We're very comfortable at this low penetration rate playing a little bit more to penetration than to maximizing ASP. So if you're introducing a new product, you want to play the penetration game initially. You have the rest of eternity to play the ASP game. So we're comfortable where it's going, and we're thinking we're getting good results there.
Operator: And our next question comes from the line of Curtis Nagle from BofA.
Curtis Nagle: Maybe I just wanted to contextualize the new member growth. I think it was up to 61% for Homes.com, 6,300 -- that compared to 1Q? And then in terms of what's factored in the guidance for the rest of the year, what are you factoring for net new member growth within that guidance?
Christian Lown: Yes, we haven't provided that detail from a member perspective and that level of detail other than the guidance we provided in my earnings comments.
Curtis Nagle: Okay. Can I take a shot at another question?
Andrew Florance: Definitely.
Christian Lown: You do.
Andrew Florance: Freebie.
Curtis Nagle: Okay. All right. We'll do another. Chris, maybe just in terms of the EBITDA guide for the third quarter, right, I think there's a bit of timing shift, but anything else kind of going on there in terms of rate going down just a little bit versus last year. Is it just timing?
Christian Lown: Yes, because if you actually look at the second quarter beat in the third quarter and you sort of take those 2 together, you'll see the organic actual beat in there, but you also see the timing shift that kind of amounts for the delta, if you look at consensus, third quarter versus the second quarter beat. So it really is primarily timing. And the beats the benefit on the upside, but then the majority of it is timing.
Operator: And our next question comes from the line of Alexei Gogolev from JPMorgan.
Alexei Gogolev: Congrats for those great results. Andy -- congrats again. I wanted to double check. Is there any seasonality in the commercial bookings, excluding Apartments.com? Just wondering if it's normal for that portion of the bookings to be broadly unchanged quarter-on-quarter.
Christian Lown: The answer is no. Obviously, in the broader commercial margin that we provide, apartments usually has a very strong second quarter. CoStar historically has stronger fourth quarter, it sort of all moves out, I think there is a margin improvement, but there's rounding, it gives you that 43% number.
Alexei Gogolev: Chris, I was talking more about bookings.
Christian Lown: Oh, I'm sorry. I apologize. So bookings...
Andrew Florance: Bookings in CoStar is pretty stable through the year.
Christian Lown: Pretty stable through the year.
Andrew Florance: Sometimes you get a little bit of a lift in the fourth quarter.
Christian Lown: Yes. And apartments always has a strong second quarter, which we've talked about historically.
Andrew Florance: And I think through time, Homes will probably have a strong second quarter, too.
Christian Lown: Yes. And LoopNet is clearly on a path to see organic growth, which would be -- have a lack of seasonality given the change in business model.
Andrew Florance: LoopNet used to have a strong negative seasonality in the fourth quarter, which we've now eliminated.
Operator: And our next question comes from the line of George Tong from Goldman Sachs.
Keen Fai Tong: Andy, in Homes.com you mentioned playing more to the penetration than maximizing price. Can you remind us how the average price for new memberships changed during the quarter? And how you're thinking about the broader pricing strategy going forward? Is there a strategy to price based on tiers or adjust pricing based on agent performance, listing volumes, et cetera?
Andrew Florance: So we're very mindful that every single subscription sold has a very high gross margin. We're looking at our direct costs, our Matterport costs, all that, and we want to have a very high direct margin. We want to drive participation in referrals. So as NPSs go up, we want to sell profitable business that drives margin. Again, we're at a very low penetration point with a new product area. The pricing is based on -- we've done some shifting like we used to charge agents based on some of their buyer agency work. We've shifted that away, and we more focus on the pricing model being on the listing side of the business and the value of the assets, the volume of the assets, the size of the team. And then we've begun to put a bit of a factor in there for their rental portfolios because with the Homes.com rental listing syndicating over to Apartments.com that creates a lot of value for them on the rental listing side. So it's a constantly changing mix, and I anticipate best practice, we'll keep shifting and playing with it every quarter. But with a -- thematically, we want to have profitable penetration growth on a unit basis. And again, if you look at like a LoopNet, where you might be in the 60-some percent penetration or at the institutional end of apartments, you might be at that 60% penetration. We're down low, low, low penetration cycle for Homes.com. So we want to focus on growing share profitably on a unit basis. knowing that you have a lot of time to capture more value. And also remember that folks who are successful in the model who are adopting are the one we're selling in the United States, which is around marketing the real estate. Again, we're the only platform in the United States, that's really focused on marketing real estate. The folks that do this kind of platform and what we do currently at Apartments.com in the United States and LoopNet in the United States, you begin by selling a product which is around participation. So it's the -- you sell first, the entry-level listing, just a silver ad like a baseline promotion add. Through time, you can do something called depth advertising or signature advertising, but it's something that evolves through time. And if I look at like an REA group in Australia, I would imagine that 80% of their revenue comes from depth advertising, but that's a lever you pull in intermediate out years.
Operator: And our next question comes from the line of Jeff Mueler from Baird.
Jeffrey Meuler: The 750 Homes.com headcount figure exiting the year. Is that a change? I thought you were talking 500 to 600. And how are you thinking about, I guess, the serviceable addressable market in terms of agent head count that you're going after at this point?
Andrew Florance: Sure. Yes, I am reining in Andy Stearns, who has built quite an effective machine down there in Richmond, Virginia. So it has been inching up. We're going to hold it there at that number. We may take some of those resources and use them for selling Matterport. Again, there's -- Matterport has had a relatively small sales force. And the second part of the question was? So -- I'm sorry, the addressable market there. So the -- the addressable market is just massive, right? So you have 1.5 million agents there that you can sell to. In reality, you probably have 500,000 to 750,000 who are really viable candidates. And you have -- you need to look at these folks, these 700,000 some prospects, not as a onetime sale. You're not just selling them something on day 1 and then never talking to them again. You want to sell them something and develop a relationship with them. You want to communicate with them about the value they are receiving from their membership, continue to educate them on the value they're receiving, keeping in mind that in models around the world and in commercial real estate in the United States, these client relationships grow and you are able to sell them more and more products and services. So if you get to 750 salespeople, you're talking about roughly 1,000 clients or prospects per salesperson, which is a pretty aggressive load. I mean it's one of the beauties of this space is that it is a huge market opportunity. One of the beauties of our business model is that unlike our competitors that can only really sell to 5% of the market, our business model can sell to 60%, 70%, 80% of the market, which is why we love it and why investors should too.
Operator: This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Andy Florance for any further remarks.
Andrew Florance: Thank you, everyone, for joining us for the second quarter earnings call. Sorry if I'm a little too enthusiastic, but for good reason. And we look forward to updating you on the progress in the business in the next earnings call. Thank you very much for joining us.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.